Operator: Good morning everyone and welcome to the InfuSystem Holdings First Quarter 2014 conference call. This is your operator, Christine. On the call today is Mr. Eric Steen, Chief Executive Officer, and Mr. Jonathan Foster, Chief Financial Officer. Janet Skonieczny, Chief Operating Officer, and Mike McReynolds, Chief Information Officer are online today. Let me first give you to Mr. Jonathan P. Foster, Chief Financial Officer.
Jonathan Foster: Thank you, Christine. Good morning everyone. First of all, let me get some administrative matters out of the way. The company issued a press release this morning. The release is available on most financial websites. Additionally, a web replay will be available on the company’s website for 30 days. Both the press release on Form 8-K and the company’s Form 10-Q for the first quarter of 2014 have been filed with the SEC this morning. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those predicted by such forward-looking statements. These risks and uncertainties include general economic conditions as well as other risks detailed from time to time in InfuSystem’s publicly filed documents. Specifically, information about risks and uncertainties that could cause the company’s actual results and financial condition to differ from those predicted by forward-looking statements are disclosed in the company’s annual report on Form 10-K for the year ended December 31, 2013 under the heading, Risk Factors, and elsewhere in the report and may also be updated from time to time in the company’s quarterly Form 10-Q. The company has no obligation to update the forward-looking information contained in this conference call. While discussing the company’s performance, the company will refer to certain non-GAAP metrics such as adjusted EBITDA, which is not considered a measure of financial performance under generally accepted accounting principles. A reconciliation of the difference between non-GAAP financial measures such as adjusted EBITDA and the most comparable GAAP measures is contained in the company’s press release previously mentioned. Now with that out of the way, I’d like to turn the call over to Mr. Eric Steen, our Chief Executive Officer.
Eric Steen: Good morning everyone and thanks for joining the InfuSystem Holdings first quarter of 2014 earnings call. For Q1, I’m pleased with the strong numbers from both the provider and supplier core business operations. I’m happy about our expansion efforts that are further diversifying our revenue streams, and I like the way the IT enhancements are beginning to drive the business through connecting electronically with our customers. As for the numbers, for the quarter ended March 31, 2014, the company’s net income was $0.6 million or $0.03 per diluted share versus $0.1 million in 2013. We grew revenue for the quarter to $17.2 million, an increase of 17% over the same prior year period, while gross profit was up 16% versus prior year. In the first quarter, we had a fairly large opportunistic pump sale to one of our broker customers, and excluding that sale we still increased revenue in the double digits. We added over 1 million to our pump fleet in Q1 and continued to focus on controlling G&A spending, although there were a couple of one-time events like severance payments that increased G&A over prior year. These are expected to normalize over the course of the year. Our competitive bid success with CMS has created opportunities for us with new partners to provide ambulatory pump and supply services for an expanding breadth of home infusion therapies. Our efforts in the post-surgical pain management continue. We have now helped hundreds of patients after surgery and we have received excellent patient satisfaction pain scores from them. In the first quarter, we launched our Block Pain dashboard that lets our hospital and outpatient surgery customers have a scoreboard of their success for pain management metrics with their surgical patients. We have also implemented an internal asset management system for our own pumps. We will now roll out to the marketplace for our customers to benefit from this investment as well. Going forward, organic growth of pump rentals and infusion product sales, both capital and disposables, will generate the cash necessary to pay down debt while we invest in the new IT systems that will accelerate the current business and in new therapy areas like pain management that will diversify our revenue stream. Additionally in the quarters ahead, we will have an increased focus on patient collections and reducing AR. In summary, I’m pleased with our ongoing efforts and our significant momentum in connecting electronically with our customers and our expansion efforts into new segments and products. I will now turn it over to John for specific discussions on our financial results.
Jonathan Foster: Thank you, Eric. Prior to getting deep into the numbers, let me point out a few takeaways from this quarter’s results as viewed from a financial perspective. First, seasonality – we updated seasonality in the 10-K just recently. With the Affordable Healthcare Act, more so than in the past, the first quarter is impacted with higher bad debt and later billings due to the increased need for precertification of insurance. Higher patient deductibles and co-pays, collection of patient receivables, as Eric just mentioned, is a focus of our third party operations. Second, focused spending in information technology and new product services like pain management are key to adding to our revenue growth. Such spending will increase our competitive edge and will add to our revenue stream in the future. We did have some severance in the quarter, as Eric mentioned, and this is because Eric’s continuing to hone his management team and sales force. Spending on comparable G&A from Q1 ’13 to Q1 ’14 actually decreased. Third, management and our board are focused on organic growth and paying down debt. This quarter, we needed to increase our rental fleet to support future revenue demands by a sizeable amount. Pump purchases totaled $1.3 million since the end of 2013 and $3.5 million since the prior year quarter. In the second quarter, we disclosed in the recently filed 10-Q a pay-down on one of our bank term loans via an excess cash flow suite to the tune of $1.6 million. Most importantly, we have experienced strong revenue growth in the quarter in both rentals and product sales, reflecting the results of the company’s execution on our strategic plan. All this combined is supporting our efforts to reduce our cost of capital, especially bank debt. I look forward to sharing more on this in the near future. Now we’ll discuss the financial results for the first quarter in more detail. Our revenues for the quarter ended March 31, 2014 were $17.2 million, an increase of $2.5 million or 17% compared to $14.7 million for the quarter ended March 31, 2013. During the period, net revenues from rentals increased 10% while net revenues from product sales increased 90% over the same period in 2013. Without the opportunistic product sale during the period, which was at a low risk margin that resulted in $0.9 million in additional revenue, without which revenues from product sales still increased 19% and total revenues still increased a strong 11% over the prior year period. Gross profit for the quarter ended March 31, 2014 was $12.1 million, an increase of $1.7 million or 16% compared to gross profit of $10.4 million for the quarter ended March 31, 2013. Gross profit as a percentage of revenues represented 70% and 71% for the three months ended March 31, 2014 and 2013 respectively. Without the aforementioned pump sale, gross profit for the current period was 74%. During the first quarter of 2014, we reassessed the estimated useful life of certain property and equipment. As a result, the estimated useful life of our medical equipment has changed from five to seven years due to the determination that we were using these assets longer than originally anticipated. A major factor in this change was a servicing of such equipment by our Kansas facility, which was acquired in 2010. The decision by management to utilize this service center to maintain a rental fleet has drastically reduced the company’s disposal of pumps in the neighborhood of a two-thirds decrease annually, so this increase in life is not the correction of a bad estimate made in years past. Instead, it is a change in estimate as a direct result of the company’s capabilities to service and manage its pump fleet. The change in estimated useful life for pump equipment was accounted for as a change in accounting estimate on a prospective basis, effective January 1, 2014. The change in estimated useful life resulted in $0.5 million less depreciation expense for the quarter ended March 31, 2014 than otherwise would have been recorded. As a result, cost of revenues in the current period is $0.5 million less than the same prior period. Provision for doubtful accounts for the quarter ended March 31, 2014 was $2.1 million, an increase of $0.4 million or 27% compared to $1.7 million for the quarter ended March 31, 2013. The provision for doubtful accounts is 12% of revenues at March 31, 2014 compared to 11% for the same period in the prior year. In addition to the seasonality just mentioned, part of the company’s provision for doubtful accounts continues to be attributed to a major group of third party payors that revised their claim processing guidelines at the end of 2012 that continues to affect all durable medical equipment providers. Prior to the change, DME providers submitted claims to their home plan and the claims were processed in network. Since the change in guidelines, DME providers are now required to submit their claims to the payor in the state where services were initiated. If the DME provider is not a participating provider with that specific payor, the claim is treated as out-of-network and the patient will incur higher costs; therefore, we must collect a higher portion of reimbursement directly from patients which increases our collection risk. This major payor’s association selected us a preferred provider which has and will continue to help us in securing contracts in areas currently out of network. During the quarter ended March 31, 2014, our selling and marketing expenses were $2.7 million, an increase of $0.3 million or 10% compared to $2.4 million for the quarter ended March 31, 2013. As the percentage of revenues, selling costs dropped to 15% of revenue compared to 16% in the prior year period. This increase in dollars was largely attributed to increased commissions based on higher revenue for the comparable periods. Selling and marketing expenses during these periods consist of sales personnel salaries, commissions, and associated fringe benefits and payroll-related items, marketing and share-based compensation, travel, entertainment, and other miscellaneous expenses. General and administrative expense – G&A – during these periods consisted primarily of accounting, administrative, third party payor billing, contract services, customer services, nurses on staff, new product services, and service center personnel salaries, fringe benefits and other payroll-related items, professional fees, legal fees, stock-based compensation, insurance, and other miscellaneous items. During the quarter ended March 31, 2013, our G&A expenses were $4.9 million, which is consistent with the $5 million for the quarter ended March 31, 2013. This maintaining of previous G&A spending level is due to an increase during the current period in information technology cost of $0.1 million, an increase in new product services by $0.1 million, an increase in cash versus stock compensation of $0.1 million, and a decrease in other G&A expenses by $0.1 million. In the prior year period, the company experienced certain expenses called transition costs of $0.3 million associated with the CEO search, the final severance payment made to the former CEO, and a one-time payment to an existing board member. During the quarter ended March 31, 2014, we reported interest expense of $0.8 million, which was consistent with the same prior year period. In addition, during the first quarter of 2013 we received other income of $0.3 million in proceeds when a mutual insurance company that we maintained a policy with under our risk management program was acquired and cash payments were disbursed to eligible members. During the quarter ended March 31, 2014, we recorded income tax expense of $0.3 million compared to less than $0.1 million during the quarter ended March 31, 2013. The increase in tax expense is primarily due to profitability during the quarter ended March 31, 2014. As Eric mentioned, for the first quarter ended March 31, 2014, the company’s net income was $0.6 million or $0.03 per diluted share versus $0.1 million or $0.00 per diluted share for the same period in 2013. As of March 31, 2014, we had cash or cash equivalents of $0.5 million and $6.2 million of availability on the credit facility, compared to $1.1 million of cash and cash equivalents and $5.9 million availability on the credit facility at December 31, 2013. During the quarter ended March 31, 2014, accounts receivable net increased $1.4 million compared to December 31, 2013 primarily due to the increase in revenue, the impact of co-pays and deductibles for patients’ insurance are traditionally reset at the beginning of each year, and billings late in the quarter. Cash used in operating activities for the three months ended March 31, 2014 was $0.6 million compared to cash generated of $1.6 million for the three months ended March 31, 2013. The decrease in cash is primarily due to increases in accounts receivable in 2014. The cash flow effect of this change due to accounts receivable is a decrease of $0.8 million more than the decrease in the same quarter last year. Additionally, operating cash flow decreased due to a significant increase of $1.8 million in accounts payable and other current liabilities. Cash proceeds from investing activities was $0.1 million for the three months ended March 31, 2014 compared to cash used of $0.7 million for the three months ended March 31, 2013. The increase is primarily related to less purchases of medical equipment and property of $0.2 million and an increase in proceeds from the sale of medical equipment and property of $0.6 million compared to the same period of the prior year. The significant increase was largely due to the opportunistic sale of a particular pump, as I previously mentioned, and the sale of our pre-owned equipment received from a financial institution which resulted in $0.4 million, of which a total of $0.4 million was collected during the quarter. Cash used in financing activities for the three months ended March 31 was $0.1 million compared to $2.8 million for financing activities for the three months ended March 31, 2013. This decrease is mainly attributed to the need to draw down less of the revolving credit facility of the period ended March 31, 2014 and better cash management. Availability under the revolving credit facility is based upon the company’s eligible accounts receivable and eligible inventory. (Audio interference) may have revolving long gross availability of $6.9 million and $5.9 million (indiscernible) and outstanding amounts totaling $0.6 million and zero, as well as a reserve for letter of credit of $0.1 million, leaving approximately $6.2 million and $5.9 million respectively available under the credit facility as of March 31, 2014 and December 31, 2013. Going forward, we continue to believe the strength of our operations and our balance sheet will assist in our efforts to reduce our cost of capital in 2014. The company utilizes adjusted EBITDA as a means to measure its operating performance. A reconciliation from adjusted EBITDA, a non-GAAP measure, to net income can be found in the appendix of the press release issued this morning. Adjusted EBITDA was $3.3 million for the first quarter of 2014 compared to $3.3 million in 2013. To make sense of the numbers and to explain why we are so confident in our operations, let me add some light on this quarter-to-quarter comparison. First of all, we try to only adjust for unusual or purely one-time non-operational items on adjusted EBITDA calculation; for example, last year’s strategic alternative expenses and transition costs associated with our board and upper management transitioning from being turnaround to operationally focused. Last year’s period included $0.3 million rebate related to our risk management practices but all came in one quarter. This quarter, the severance went the opposite direction, but within the year will pay for itself via reduced headcount costs. Additionally, we update in the latest 10-K our commentary on seasonality. This more than last, seasonality came into play. As mentioned, with the Affordable Healthcare Act, patient deductible and co-pays are higher, as a lot of us on today’s call probably have experienced. Such changes increase our bad debt expense. As we move forward into the year, this should be less of an issue. Our acknowledged investments in IT and pain management will pay off in the long run via more accounts and revenue as we increase our competitive offering on our third party payor side, and with new accounts for pain management. So with all of this in mind, we view our adjusted EBITDA performance stronger this period than prior years. In addition, total debt in the period increased slightly due to our $1.3 million investment in medical equipment and service within the current period, which is needed to support revenue growth, all while maintaining strong liquidity of $6.7 million. Comparing our working capital days as of March 31, 2014 to this time last year, we ended the quarter with accounts receivable days sales outstanding, or DSO, of 63 days, higher than this time last year of 59 days and the end of fiscal year end of 56. This occurred due to the previously mentioned two reasons: seasonality, insurance billing occurring later in the quarter mostly due to having performed more precertification of insurance, and due to so many patients changing insurance plans - doing this prevents incorrect billing which can cause an even longer delay in clearing up AR; and the increased revenue from our pump sales. Our days sales in inventory, including our medical equipment held for sale or rental, or DSI, decreased from 24 days for last year’s Q1 and from last fiscal year-end of 26 down to 23, reflecting the sale of the previously mentioned pumps. Days sales and accounts payable increased from prior year’s Q1 of 19 and Q4 of 13 of 25 to 27 days, reflecting increasingly better cash management. Our overall networking capital days changed from Q1 of ’13 of 64 days and Q4 of ’13 of 57 days to 59 days for the current period. One of the efficiency measures that I’ve mentioned in prior calls is our turnover ratio and as I’ve sometimes referred to it as our rental revenue ratio. Taking just a rental revenue over our medical equipment and rental service at historical cost, the ratio in the fourth quarter of 2013 was 1.55 and in the year-ago period of Q1 of 2013 was 1.54, all on an annualized basis. This compares to 1.54 in the current period. The maintenance of this ratio despite increase in our rental fleet size by $3.5 million and $1.3 million, as I’ve previously mentioned, demonstrates our focus to keep our fleet the right size to meet our business needs. Our continued investment in our rental fleet is one of the reasons that we continue our guidance of high single digit revenue growth into 2014. That concludes the formal part of the call and we will now open it up to questions.
Operator: Thank you. We will now begin the question and answer session. [Operator instructions] Thank you. Our first question comes from Doug Weiss from ASW Investments. Please go ahead.
Doug Weiss – ASW Investments: Hey, good morning.
Jonathan Foster: Good morning.
Doug Weiss – ASW Investments: Could you talk a little bit about the deprecation and disposal line item and why that rose as a percent of rental revenue?
Jonathan Foster: I’m sorry – you kind of broke up there.
Doug Weiss – ASW Investments: Could you speak a little bit to depreciation and disposal and why that was up relative to rental revenue?
Jonathan Foster: Well, we’ve added to our pump fleet during the year, and so if you look at it, we’ve added to our pump fleet $3.5 million from Q1 of last year. At the same time, we did increase our depreciable life from five to seven years, so on a comparable basis if we’d kept it at five years, depreciation would have been roughly $500,000 more in the quarter. But due to the way that we’re managing our pump fleet and servicing it here in our Kansas facility, we drastically have reduced our disposals.
Doug Weiss – ASW Investments: Okay. I mean, I guess—now I’m just talking within the gross profit section, and I guess that line item—just looking on a percentage of rental revenue, I guess it moves around quite a bit but on a year-over-year basis, that’s one of the big deltas in your total cost base.
Jonathan Foster: Again, what’s happened—if you look at last year for the total year, if you’re looking on a comparable basis, since this time last year we’ve added $3.5 million of medical equipment and service. We’ve really, over the past two years, have added a significant amount after a period of time when we really didn’t add to our pump fleet – very little, I mean, compared to today, so you’re seeing that impact. It’s just a pure math play of the addition of pumps over this period of time and how much of our pump fleet in the past has been fully depreciated.
Doug Weiss – ASW Investments: So I’m speaking specifically to the $2,276,000. Does that include a loss on disposal?
Jonathan Foster: I’m sorry, where are you looking—on--?
Doug Weiss – ASW Investments: So within the—right above the gross profit, the 2.276—
Jonathan Foster: Yeah, that does include loss on disposals.
Doug Weiss – ASW Investments: Is it possible to say what the loss was, or--?
Jonathan Foster: From the standpoint of—that would also include—in that section, that would also include the cost of the pumps of the Alaris sale.
Doug Weiss – ASW Investments: Okay.
Jonathan Foster: Because that’s disposable pumps, so it’s roughly $596,000 of that number as well. So a large part of that is due to the pumps, so going forward you would see that number come down from Q1.
Doug Weiss – ASW Investments: Okay.
Jonathan Foster: So again, let me be clear – of that 2.276, you have a lot of things in play. Let me summarize it. We have—we have increased pumps over the last year, significantly more than we have so in the past. Going the opposite direction, you have depreciable lives going higher, so you have pumps—so that has brought pump down, then also the Alaris pump sale for $0.9 million, roughly $600,000 of cost ran through that, but you also have some service and supply costs that were associated with that in the line item above. So the gross margin altogether on that $900,000 sale was a very, very low margin.
Eric Steen: So as we talked earlier about the one-time opportunistic sale to a broker customer, we had the opportunity to buy a large amount of used pumps and then sell them to one of our broker customers, and the cost of that one-time sale, which is at a lower margin than our usual margins, is usual reflected in that number.
Doug Weiss – ASW Investments: Okay.
Eric Steen: And Doug, if I could point out that our cost to revenues, because of the way we transact our business, the cost of revenues is not aligned with the revenue line items above.
Doug Weiss – ASW Investments: Okay, all right. Then on the provision for doubtful expense, I know you guys are transitioning to contracting more on a regional basis with insurers as opposed to previously being paid by a single national payor. Where are you in that process, and when do you think the improvement in reimbursement will be reflected more meaningfully from a margin standpoint?
Eric Steen: Well I guess to start with, I don’t accept the premise that we’re doing more regional insurance contracting. Actually, we’ve gone—with one group, we’ve gone to a larger national account, so we aren’t going—we have a new strategy where we’re specifically trying to do regional payors. This one situation has happened because we’ve signed an agreement with a national payor that we used to have regional payor contracts with, so it’s going to the other way.
Jonathan Foster: Yeah, and after I answer, we’ll let Jan chime in as well. One of the things is if you look at the growth in the AR reserve, and as I’ve mentioned third party payor is a focus of our third party operations, if you charge it off, you’re not going to collect it – you know, out of sight, out of mind. So as we gear up, you should see as we move forward a reduction in total accounts receivables and the reserves as we move forward in the year, and by the time we get to this time at the end of the year. Jan, you want to chime in on the contract situation?
Janet Skonieczny: Sure. So a couple of things – number one, with the implementation of the Affordable Care Act, what that has done is caused a lot of chaos, if you will, with respect to the patient population in that many patients’ plans are changing and their out-of-pocket expenses are increasing. As John mentioned, because of all these changes, we implemented a process for going back and re-verifying patients insurance because we’ve found that many patients’ plans have changed and therefore we don’t want to be dealing with these issues on the back end. So with all that said, these plans that have higher patient deductibles and co-insurance also increase our patient receivables. Number two, with respect to the payors, that’s an ongoing process where we continue to focus on contracting with all payors that affect our business, so as we gain new business we review the insurance carriers that these patients have and we make sure that we begin the process of contracting if those contracts aren’t in place, and that includes that national payor group that Eric was referring to. We’ve made a lot of progress, but it is a process and that too has been slowed down slightly as these plans are all scrambling to get their plans on the healthcare exchange available for patients due to the Affordable Care Act.
Doug Weiss – ASW Investments: Mm-hmm. So I mean, I don’t know if you can put any numbers around it in terms of how much you think that can decline on a percentage basis this year and next year, or is that too tough to say?
Janet Skonieczny: I think that’s pretty difficult to say at this point. All I can tell you is it is a major focus for our operations group, and we continue as we always have to emphasize the need for payor contracts. That’s always been an area of strength for us, and I see no reason to think that that would be anything other than a strength going forward.
Doug Weiss – ASW Investments: Okay. Then just one last point on the allowance, and that’s that—you know, at this point, I assume that’s really more of an accounting estimate based on the growth in your receivable balance. Your collection rates may actually prove better than your estimate there – is that true, or--?
Jonathan Foster: Yes, that definitely is true, and we believe that—we account for it as best as we can, but we can always do better than we have estimated. We reserve almost all of patient receivables right up front as soon as we bill it.
Doug Weiss – ASW Investments: All right, thanks. Talk to you next quarter.
Jonathan Foster: Thank you, Doug. And Doug, one last thing on the depreciation, if you go to the press release that’s either out on the web or at the SEC on the 8-K, you’ll see that the depreciation has declined significantly, so the majority of that increase is the Alaris pumps, and that should give you an idea of how to adjust the numbers going forward.
Doug Weiss – ASW Investments: Okay. All right, thank you.
Jonathan Foster: Thank you.
Operator: Thank you, and once again if you would like to ask a question, please press star then one on your touchtone phone. We have no further questions at this time. Oh, a question has just chimed up from David Cohen from Minerva Advisors. Please go ahead, sir.
David Cohen – Minerva Advisors: Thanks. Morning, guys. Could you talk a little about your outlook—
Jonathan Foster: David, could you speak up? We can barely hear you – I’m sorry.
David Cohen – Minerva Advisors: Well, I really can’t. I’ll do what I can.
Jonathan Foster: Okay, there you go. That’s better.
David Cohen – Minerva Advisors: I’m just interested in the full-year revenue growth guidance relative to the first quarter revenue growth, even backing out the pump sale. It’s obviously significantly lower despite the fact that we’ve made meaningful pump investment, and I’d just be interested in hearing the rationale behind that divergence. Thank you.
Eric Steen: Yeah, thanks very much – great question. The first quarter, big revenue – we hit a lot of product sales as opposed to our recurring rentals, and one thing that I know about being in the IV pump business for most of my life, when you are selling capital equipment, you can get—you know, it takes you a long time to get the sale, and then when it hits, you’ve got a big revenue bump. I would say one thing that’s probably different from prior management in my first year was when the salespeople had deals at the end of the year – hey, I can get this deal but I need a little bit off and I need a little bit off – I don’t like discounting pricing at the end of years or end of quarters to make the numbers look good at the end of that period. Probably I’m indelibly etched of working for larger, publicly-held companies and didn’t like having to discount prices to make a number, so by letting things happen when they may without discounting, we happen to get a number of large capital sales in the first quarter, and again our product sales were way up, not our (audio interference) rentals. So with such a good first quarter, do we (audio interference) to ramp up and do better? Yeah, we do; but the guidance was based on really taking a good look at our strategic plan, our markets, what we’re trying to do, and after issuing that guidance just such a short time ago, I’m not going to let one big quarter of capital sales have me promise to all of you that this is going to continue in this vein.
Jonathan Foster: Yeah, and let me add to that – on the rental side, we did add to our pump fleet and that traditionally takes about a quarter for that to take hold as you get the pumps out and distributed to the new customer base. But if you look at it on a quarter-over-quarter basis, taking the seasonality into account, if you compare to Q1 of ’13, rental revenue still went up 10%. So the rental revenue is growing on a prior year basis compared to basis maybe not on a previous quarter basis, but from a standpoint of how long it takes those pumps to start generating revenue, generally it’s one quarter.
David Cohen – Minerva Advisors: Got it. Thank you.
Jonathan Foster: Thank you.
Eric Steen: Thanks for your question.
Operator: Thank you. We have no further questions at this time.
Eric Steen: Okay, thank you Operator, and thanks everyone for your interest in InfuSystem and for participating in the call this morning.